Nathan Melihercik: Good afternoon and good evening. Welcome to Logitech's video call to discuss our Financial Results for the Third Quarter of Fiscal Year 2025. Joining us today are Hanneke Faber, our CEO; and Matteo Anversa, our CFO. During this call, we will make forward-looking statements including with respect to future operating results under the safe harbor of the Private Securities Litigation Reform Act of 1995. We're making these statements based on our views only as of today. Our actual sales could -- results could differ materially. We undertake no obligation to update or revise any of these statements. We will also discuss non-GAAP financial results and you can find a reconciliation between GAAP and non-GAAP results and information about our use of non-GAAP measures and factors that could impact our financial results and forward-looking statements in our press release and in our filings with the SEC. These materials as well as the shareholder letter and a webcast of this call are all available at the Investor Relations page of our website. We encourage you to review these materials carefully. Unless noted otherwise, comparisons between periods are year-over-year and in constant currency and net sales. This call is being recorded and will be available for a replay on our website. I will now turn the call over to Hanneke. Hanneke
Hanneke Faber: Thank you, Nate, and welcome everyone to our third quarter earnings call. As you all know, the holiday quarter is a very important quarter for us at Logitech, seasonally our biggest. And I'm thrilled to share that we performed very well this holiday, delivering strong profitable growth for the fourth consecutive quarter. Net sales grew 6% versus last year. Demand or sell out growth accelerated to 8% and the growth was broad based across categories and regions. As a result, we're raising our outlook for the year. Importantly, our growth was driven by the strategic priorities that I shared with you last spring. First, superior design-led innovation. It's in our DNA, and we went into the holiday quarter with a fantastic lineup of new products which customers and consumers loved and which translated into strong demand around the world. In gaming, with 16 new products launched in advance of the holidays, sales reached near pandemic highs, growing double-digits at plus 13% versus last year. Our Pro line developed in collaboration with professional eSports athletes was a standout and achieved record sales. And looking ahead, we just announced an AI streaming assistant developed in collaboration with NVIDIA at CES. This agentic AI innovation is designed for gaming streamers, giving them an instant producer, a co-host, and a sidekick to better content create and reach their fans. Superior innovation like this has fueled success across our portfolio, particularly in the high-end. For example, our premium MX line of mice, keyboards, and webcams, including the new MX creative console that was developed for digital designers, reached near-record sales levels this quarter. Our innovation increasingly leverages AI to make our products smarter, driving new features that were not possible even six months ago. In addition to the AI streaming agent for gamers I just mentioned, our newest headsets offer a truly unique two way noise-canceling experience powered by AI on the edge. And the Logitech Sight, our advanced tabletop meeting room camera, which uses AI-driven smart switching for video framing and sound processing was recognized as one of Time's best inventions of 2024 last quarter. There is more to come. Just last week we announced a Rally Board 65, a mobile touchscreen display with video conferencing capabilities, that you can easily roll into any room. This portable solution creates a digital cocoon for meetings and a more immersive meeting experience in any space. In a short amount of time, we have successfully integrated AI into the work and play flows of nearly all our key categories and there is much more to come. The developments in AI of just this last week position us even better as they provide more opportunities for Edge AI applications into our product development. The second strategic driver of our strong results was Logitech for Business. Doubling down on growth in the B2B channel is an important strategic focus for us. This quarter engagement with customers at Logi Work events created strong momentum resulting in growth in video collaboration and headsets as well as in the personal workspace products that we sell to B2B customers. Services bookings, an important driver of customer satisfaction, more than doubled and our continued expansion into the new vertical of education yielded growth of more than 20%. The Logitech for Business team continues to meet the evolving needs of modern workplaces. Just this month they launched a range of innovative smart office tools including the Rally Board 65 I just mentioned, the Rally Camera Streamline Kit for Higher Education, and the Logitech Spot Sensor. These new solutions combined with commercial go-to-market initiatives from our new dedicated global sales forces, are resonating very well with B2B customers. Next, when you look at our growth this quarter, it was broad-based across geographies. This underscores our strategic approach, tailoring our execution to meet local demands and opportunities and rapidly reapplying best practices across countries. For Q3, I want to congratulate our teams around the world for delivering very effective marketing campaigns and truly excellent in-store and online holiday retail execution. Notably, we're making progress in China. Our end markets there saw robust growth, helping to drive a double-digit increase in Logitech's net sales year-over-year. Our teams are doing admirable work, quickly introducing new products in China that reposition us in the market at both the premium and the lower end, and refreshing our use of social media and online sales channels in exciting new ways. It's still early innings in our China execution, but I love the momentum that we're regaining in China. Last and certainly not least, our continued delivery of profitable growth is underpinned by the exceptional execution of our operations team. Once again, cost reductions drove our gross margin above 43%. And with tariffs on everyone's mind, we continue to prepare for a range of possible outcomes and for an ever more resilient global supply chain. I'm pleased to report that we remain on track to further diversify our manufacturing footprint with well over half of units shipped to North America coming from locations outside of China, by the end of our fiscal year. In summary, a quarter with very strong results, driven by real progress against our strategic priorities. And finally, as a reminder, we have our Analyst and Investor Day scheduled for March 5, when we will discuss our mission to extend human potential in work and play and our longer-term strategy as well as showcase our industry-leading innovation. We'd be thrilled to host you at our Silicon Valley office or online. Matteo, over to you.
Matteo Anversa: All right. Thank you, Hanneke. Thank you all for joining the call today. The team delivered another exceptional quarter with strong profitable growth. The detailed financial results can be found in the press release and shareholder letter, but let me briefly share with you the key financial highlights for the quarter. Net sales were up 6% year-over-year driven by demand in both our business and consumer channels which came in ahead of our outlook. Demand was broad based with all regions and key product categories growing year-over-year. I would like to call out two particular high points for the quarter. Gaming grew double digits approaching net sales levels last seen during the pandemic, and the high end of our business did very well. And as Hanneke mentioned, our PRO line hit record net sales and our MX line also hit near-record net sales. Regionally, Asia grew a high single digits in year-over-year net sales, and Europe and the Americas grew mid-single-digits. We entered the third quarter with a healthy and balanced channel inventory which supported a successful holiday season. And as we exit the quarter, both owned and channel inventory levels ended well within our operating targets. As we indicated in the prior earnings call, in the third quarter sell-through outpaced sell-in and we expect this trend to continue also in the fourth quarter. Most importantly, our growth continued to be highly profitable. The non-GAAP gross margin rate was 43.2% in the third quarter up 90 basis points year-over-year driven by reductions in product costs. And this marks the fifth consecutive quarter of year-over-year gross margin rate expansion, a real testament to the durability of our cost reduction initiatives and commitment to operational excellence. As a result, we expect the gross margin rate for this fiscal year to be on the higher end of our previously provided range of 42% to 43%. Moving to operating expenses. Q3 OpEx was impacted by a $40 million charge for bad debt reserve due to the inability of one of our e-commerce payment providers to pay us. We have since transitioned to a new provider. And excluding the impact of this charge, operating expenses would have been 22.3% of net sales, slightly lower than the previous year. Sales and marketing would have been up 6% year-over-year and additionally, we continue to invest in R&D while maintaining G&A flat year-over-year. Non-GAAP operating income increased by 7% compared to the prior year. And excluding the charge that I mentioned earlier, it would have been 20.9% of net sales, up 110 basis points compared to the third quarter of last year. Our cash generation remains robust. In the quarter we generated $370 million of cash from operations, contributing to a healthy cash position of $1.5 billion. In addition, we announced a five-year $750 million credit facility which we believe will enhance our financial flexibility and further strengthen our financial position. In the third quarter, we returned $200 million to shareholders through share repurchases as part of our ongoing $1 billion buyback program. And since the beginning of fiscal year '25, we have returned over $650 million to shareholders through dividends and share repurchases. Now, looking ahead, we have increased our fiscal year 2025 outlook. Our underlining business is performing extremely well and we are confident that we will close out this year in a strong position. There are two items that I would like to call out since our update last quarter. Now first, as I mentioned earlier, in this quarter we faced an isolated $14 million headwind related to a bad debt expense. And second, we believe that it is likely that our results in the fourth quarter will be negatively impacted by the recent strengthening of the U.S. dollar. Taken together, bad debt and foreign exchange represent an approximate $40 million headwind and these items are not related to our core business and ultimately are transitory. Despite this pressure, the tremendous performance of our underlying business gives us the confidence to raise our fiscal year 2025 outlook for both net sales and operating income. Absorbing an unforeseen $40 million headwind near the end of our fiscal year and raising our full-year outlook is a testament to the resiliency and flexibility of our teams. We speak often about the dynamic environment in which we operate, inflation, possible tariffs, and currency fluctuations. But in the end, our business is executing at a high level and adjusting to these external uncertainties. We delivered another strong quarter, and are positioned to end the year with continued strong momentum. So now we are ready for the Q&A.
A - Nathan Melihercik: Thank you so much, Matteo. We will now move to the Q&A session. [Operator Instructions] And our first question comes from Asiya Merchant with Citi.
Asiya Merchant: Great. Thank you. I was having a few issues here unmuting myself. If -- very strong results here, just on gross margins, you guys continue to obviously deliver towards the high end of that. You've talked about these cost controls that are delivering and I take it there was no impact from inventory reserves unwinding in this quarter. So just as we look ahead, if you look into the trajectory of momentum that you're exiting December with and entering March, and as we look into fiscal '26. So what are some drivers, the puts and takes that you see for gross margins into fiscal '26, to continue to deliver here towards the higher end of your range, and if we could continue to see further margin momentum Thank you.
Matteo Anversa: Sure, Asiya. Thanks for the question. So you're absolutely right. The quarter was very clean, very operational. There was no impact coming from the inventory is exactly as you mentioned. Really a fantastic job done by the operating team by [indiscernible] and his team in keep driving the product cost reductions. And it's primarily activities such as value engineering. So taking cost out of the bill of material. Now, value engineering is an ongoing process, you're never done and every year you have to start basically a new set of programs and we have pretty a good pipeline also entering into next year. And this is going to be a continued effort that will continue for years to come. As I said, it's continuous improvement, you're never done. I will right now refrain from giving you a little bit more details on the financials as it pertains to '26 and the longer term. We look forward to obviously to updating all of you at the Investor Day in March 5, but we are super thrilled by the continuous work the team has been doing.
Nathan Melihercik: Okay. Our next question comes from Alex Duval with Goldman Sachs. Alex?
Alex Duval: Yes. Hi, everyone. Thank you so much for the question. Just a quick couple if I may. Firstly, we saw another quarter of growth on the VC side and clearly, you'd seen some stabilization and talking about further attach of services. So I wondered if you could expand on that? And then I guess, the other question just on the PC side showing growth there. Clearly, there's been talk of Windows refresh and also upgrades to devices purchased early in COVID. So I wondered, if you could give your latest perspectives on those. Many thanks.
Hanneke Faber: Yeah. Happy to do that, and hi. VC, yes, we're seeing, from the many customer discussions that we're having, we're seeing the market improving a little bit. IT budgets overall still flattish, but I think the AI spending is getting a little smarter. And of course, there is return to office and customers making choices of how they want to work going forward, how many days in office, and that then in turn leads to office remodelings which are always a good thing for us. So the market is becoming a little better. And then within that, we think we're executing really, really well. Both VC demand and the overall B2B channel sales are quite a bit higher, maybe even than the VC sales you saw here in the quarter, and that's driven by superior products and innovation. I touched on some of those in the remarks, strengthening our go-to-market capabilities with increased sales coverage, better talent which we're excited about. And indeed as you said, our services attach doubled which is great because that drives customer satisfaction. It's also very profitable. And then some of the verticals especially education are really starting to get to some scale with 20% growth. So, we're bullish on Logitech for Business. In terms of PC and PC refresh cycles and Super PCs, that cycle is definitely underway. And as I've said before, there is no direct correlation with PC refreshes in our business. But certainly, people buying or receiving a new PC at work is a good time to also think about adding one of our products. So it is underway, and those new Super PCs need super mice and keyboards.
Nathan Melihercik: Okay. Our next question comes from Erik Woodring with Morgan Stanley. Erik?
Erik Woodring: Great. Thanks so much for taking my question, guys. I have two if I may. Hanneke, just -- I was wondering if you could kind of double-click on your comments on China. It's been a very challenging market overall. You've called it out specifically for Logitech over the last handful of quarters. But I guess, maybe my question, do you feel like things have turned around this quarter? And specifically, maybe what I'm trying to get at is, is there a market dynamic that's inflecting that you see. Is there something that you're doing specifically in China that's also inflecting? I'd love if you could just double click kind of market and then Logitech positioning within China and what's changing? And then, I have a follow-up. Thank you.
Hanneke Faber: Yeah. Absolutely. And Erik, it's both of the above. So I'm really pleased with the improving momentum that we're seeing in our business in China. As you know, we don't break it out, but you've seen the double-digit net sales growth for APAC and within that, China did even a little better than the average. So that's good. And what's driving that It's both of the things you mentioned. So first of all, the market in gaming continues to grow at a really fast clip in China. And what's driving that, that market I came from beauty in the past and we called it the lipstick effect when consumers are a little cash-strapped, that actually is true for gaming as well. This is a cheaper form of entertainment than going out to eat, going to the movies. So the gaming market is doing well. Another driver of this is the increasing popularity of first-person shooters in China. And of course, the competitive environment continues to be really dynamic, which means there is a lot of innovation in gaming. So that market is very robust and that is one driver of our gaming growth and our overall growth in China. Second piece though is our teams are doing really great work. And they're quickly introducing new products in China, for China, both at the premium end and the lower end. And they're really doing some exciting new stuff when it comes to marketing and social selling, both on Douyin, which is TikTok, and on Pinduoduo. And so we're seeing encouraging share progress, especially at the premium and especially, on those channels I just mentioned as well. And I'm really liking the momentum we're regaining in China.
Erik Woodring: Awesome. Really helpful commentary. Thank you, Hanneke. And then Matteo, maybe just one clarification question is again not necessarily specific to Logitech, but taking a step back, the kind of threat of potential tariffs has been something that we've seen pull forward demand a little bit. And I'm just wondering from your perspective, is this something that you see from your channel partners? Again, I understand sell-through was strong, so it's not trying to get a channel inventory, but just wondering what you're hearing from your channel partners and whether there is a bit of a pull-forward of demand just to make sure they can kind of get products at the right price before the potential of tariffs arise That's it for me. Thanks so much.
Matteo Anversa: Sure, Erik. Not really, at least not yet for what we could see, things have been progressing pretty normally. What I can tell you -- to Hanneke's point earlier, we feel we are very prepared, we have been working on this diversification of our own supply chain for quite some time. We have multiple manufacturing sites, multiple countries, so we think we are ready. It's really about supply chain resilience. More related even more to your question, when you look at the inventory, for example, you saw the inventory -- sequentially we went down third quarter versus the second, but we did actually pull in a few inventory on the right runners in order to protect ourselves and customers, upon in case there is then a final determination on tariffs.
Erik Woodring: Thanks so much.
Matteo Anversa: You bet.
Nathan Melihercik: Okay. Our next question comes from Joern Iffert with UBS. Joern?
Joern Iffert: Thank you for taking my questions. The first one is, please, a pretty basic one on your Q4, and implied outlook, which means sales is more or less flattish year-over-year and cross-profit margin, I think going back to the 41% and 42% range and also non-GAAP EBIT being down around, what is it, 10%, 20% year-over-year, if I'm not totally wrong on the back of the envelope calculation. Can you clarify if you're really seeing it or it's the concept of prudence This would be the first question, please.
Matteo Anversa: Okay. I will take that one. So let me peel the onion for you, Joern. So starting from the top, we continue to see strong demand on the back of the very successful holiday quarter that we just had. Demand in constant currency is expected to be in the mid-single-digit, okay And this translates in -- depending on which side of the range you are. But in our net sales, when you factor in the FX impact that I mentioned in my prepared remarks, net sales to be up low to mid-single digits, okay As far as the gross margin point of your question, that is correct. So we are expecting gross margin rate to be around 41.5% in the fourth quarter. So there are fundamentally two things happening year-over-year. One is the FX impact that I mentioned in my prepared remarks. As you've seen in recent weeks, the U.S. dollar has strengthened quite substantially compared to the other major currencies and for us is primarily the euro. So that's about year-over-year it's about 150 basis points pressure on the gross margin rate. And then last year, we were still enjoying a little bit of tailwinds coming from release of inventory reserves as the channel was coming down. That's not going to repeat in the fourth quarter. So that's why the gross margin rate is about call it roughly 200 basis points down year-over-year. So, however, if you exclude the impact of the FX and if you exclude the impact of this, inventory dynamic the operating income would be pretty much flat. So now withstanding all these pressures that I just mentioned, I think we are really a testament to the great work that the team has done by really allowing us to raise further the guidance for the year. And if you take a step back a little bit, rewind a little bit what we said in the last earnings call, basically our outlook is improving by about $100 million in revenue and about $20 million in margin. It's a pretty nice flow through, considering some of the challenges that I mentioned in my prepared remarks.
Joern Iffert: Thanks for this. Yeah. Sorry, Hanneke.
Hanneke Faber: No. I was just going to add, Joern. And I mean because we've been talking about this all year. So again in the fourth quarter, we do expect in constant currency that the sell-out, the demand will continue to be robust mid-single digits. But as we've said many times before, towards the end of the year to sell-in will be lowered in the sell-out. So that's the dynamic you're seeing, but we do expect it to be positive.
Joern Iffert: Thank you. And this brings me to the second question if I may. When I look into the first half '26 and just mechanically your sell-in was much higher versus sell-out. Is this something we should be prepare ourselves for, that maybe sell-in against the tight comps is more flattish in the first half '26 and sell-out will maintain the pace we are seeing around mid-single digit or is it not a big deviation you would expect for the first half '26
Matteo Anversa: Joern, if we -- sure, if we rewind the tape a little bit, right, we, if you remember at the beginning of the year we -- fiscal year '25, we mentioned that the channel exiting fiscal year '24 was a bit light. We were surprised to the positive on some of the growth that we saw in the revenue in the last couple of months of the fourth quarter of '24. And this created a bit of an imbalance in the channel inventory. And we spent basically the first half of fiscal year '25 in fixing this. And that's why we said the first half of '25 sell-in will outpace sell-out. But then this dynamic reversed itself in the second half of '25, which is exactly what has been happening in the third quarter, and what Hanneke mentioned for the fourth. Our plan is to continue to maintain a healthy channel inventory, this is really what enabled us in a way to have such a strong holiday quarter. So we want to continue to do that. And if we are successful then you should not see the same dynamic happening next year. So you will see next year sell-in and sell-through mirror closer to each other throughout the year.
Joern Iffert: Thank you very much. The very last question if I may, it's the technical one to be sure because I could not go through all the details but this SG&A one-off you were highlighting, this is included in your non-GAAP EBIT, right So the adjusted non-GAAP EBIT for this one would be even higher just to double-check this quickly.
Matteo Anversa: So, that is correct. So first of all, the $14 million was booked not in G&A but in sales and marketing and it is included in our numbers.
Joern Iffert: Thank you very much.
Matteo Anversa: Okay.
Nathan Melihercik: Okay. Our next question comes from Ananda with Loop Capital.
Ananda Baruah: Yeah. Thanks, guys. Good afternoon and thanks for taking the questions. I guess, just starting real quick on gaming. What's a good way to think about the durability of these results as you go through the year? There is some important new gaming refreshes coming out later in the year, typically there is a good pull-through ahead of those. There is also tough comp compares, tougher compares coming up as you go through the year. And then you are at record levels of gaming revenues. So just starting there, I'd love to get your take on that. Thanks.
Hanneke Faber: Yeah. I'm not going to give you an outlook for the year ahead, but we're bullish on gaming. We're super excited about what we did in the holiday quarter. We're gaining share in the U.S. and in EMEA in really robust markets. I talked about the momentum we're regaining in China, we're gaining share and we're growing faster on the premium end of our gaming business. So I mentioned Pro, which is back to records. I didn't mention Sim (ph), but that was a fourth quarter of double-digit growth on SIM. So those are really high ASP products. And then I think AI and innovation, that fun AI streaming agents we just launched, there is a lot more to come there. So a bullish on gaming and we can talk more about at AID.
Ananda Baruah: I appreciate the context and I guess quick follow-up. You had mentioned back to office. VC obviously is doing well again. Are you getting I guess, would love any context whether it's anecdotal in your conversations with larger customers or any of the data you're picking up about sort of bodies coming back to office. That sort of connecting into increased activity, any context there would be great. Thanks.
Hanneke Faber: Yeah. We're definitely seeing increased activity in people moving into new offices, changing their office setups, etc. Because many companies will continue to be hybrid so a few days in the office, few days at home, some have decided to go all in and go all back to the office. All of that requires a new way of thinking about the office, which is really perfect for us. We've got very clear points of view, what great offices look like and what great technology in those offices look like. And our teams are being pretty damn effective at sharing those perspectives and sharing our products. So again another place that we're bullish on and we can support companies that decide to go back five days a week, but we also support companies really well that decide on fewer days.
Ananda Baruah: Thanks a lot. Thanks, guys. Appreciate it.
Matteo Anversa: Thank you.
Nathan Melihercik: Okay. Our next question comes from George Wang with Barclays. George?
George Wang: Thank you for taking my questions and congrats on the quarter. I have two quick ones. Firstly, can you maybe give a more refreshed thought in terms of operating expense? It’s nice to see the strong OpEx control. Just curious if there is a tendency to reinvest some of the savings to kind of R&D and the S&M, just to increase more sales. Previously you guys talked about 24% to 26% in terms of the sales ratio. Just curious if there is a kind of move away to the low end versus kind of reinvesting to the business.
Matteo Anversa: Absolutely not. So, let me dissect the number for you, George. So we continue to invest in R&D and in sales and marketing. So if you forget, one second, the bad debt reserve that we had to book this quarter. Sales and marketing was up about 6% year-over-year. The team did a very great job in -- be very meticulous on how to spend the money. They selectively spent some marketing dollars with some of our key e-tailers and retailers to drive profitable growth. And you saw the results in the numbers that we just posted. So, really a great job for the team in spending the dollars wisely. And the same applies to R&D. We continue to see R&D going up that's part of what we always do. And you saw the impact of that. We launched just in gaming 16 new NPIs right before the holidays. And you look at what gaming did with it, they achieved almost record net sales. So that philosophy is not changing. As far as the range, we confirmed the range of 24% to 26% excluding the bad debt that we recorded in the quarter and we'll probably be on the higher end of that range. But the philosophy really is not changing. We continue to invest in R&D in sales and marketing cautiously, and we continue to be to drive in efficiency in G&A.
George Wang: Great. Just a quick follow-up if I can. Just since you guys are cash-rich, $1.5 billion of cash on the balance sheet increased a bit sequentially. Just in terms of bolt-on tuck-in deals, do you think you are going to addressing a bit more cross-sell opportunities like adjacencies versus maybe a new category, such as B2B you guys are doubling down. Just curious if there is any refreshed thoughts there.
Hanneke Faber: Yeah. So we'll definitely touch on that at the Investor Day. For now, though, our priorities when you look at cap, we have a pristine balance sheet, our cash situation is great, and the priorities on how we spend that don't change. So, first of all, we invested in the business, R&D, especially critical for us. Second, we prioritize the dividends. Nice increases in the dividend every year. The third priority though is M&A. So I'm glad you're bringing it up but we have to be extremely thoughtful and deliberate and strategic about M&A. It's easy to do a deal, it's much harder to do a really great deal. But if I were a betting woman I would say that you're right. Any M&A would be in the places of work and play and with synergies especially in B2B or in our B2C go-to-market, so we are looking. And if and when we pull the trigger I also want to tell you that we'll be ready to really integrate it well, so it's another thing that we're working on, and when we have something to share, you'll obviously be the first to know. But in the meantime, while we're not announcing any new M&A, our fourth priority for capital allocation is share buybacks, it's really important. We usually buy back around $130 million in a quarter. You've seen us buy back $200 million in the last quarter, again because of that cash situation, but also because we believe it's a really good share to invest in. So it was a little higher than usual.
George Wang: Great. Thank you.
Nathan Melihercik: Okay. At this time, we do not have any more hands raised.
Matteo Anversa: Great. Hanneke, that's our last question for today.
Hanneke Faber: Excellent. Well, thank you guys. It's great to see you. Appreciate you joining. Maybe the last thing I'll say is, I am just so proud of our team's performance in this last quarter. You've seen us invest strategically and sensibly in product innovation, in our B2B capabilities, and around our global markets. And you've seen us do that over the last several quarters. And hopefully what you've seen is that the return on that investment is on full display this holiday quarter. The business regained top-line momentum across products, across geographies, and across channels. And it's generating, as we just said, really healthy invested capital and cash returns. We feel we're well-positioned to perform in the volatile global environment that will be there this year. But I could not be more excited for what's to come in 2025. So thank you again and we hope to see you all in March here in the Silicon Valley at the AID.